Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the Golden Entertainment Second Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal remarks. Please note that this conference call is being recorded today August 3, 2016. Now I’d like to turn the conference over to Mr. Jacques Cornet with ICR. Please go ahead, sir.
Jacques Cornet: Thank you, operator, and good afternoon. By now everyone should have access to our second quarter 2016 earnings release, which can be found on the company website at www.goldenent.com, under the Investors section. Before we begin our formal remarks, need to remind everyone, discussion today will include forward-looking statements within the meaning of the federal securities laws. These forward-looking statements, which are usually identified by the use of words such as will, expect, believe, anticipate, should, or other similar phrases, are not guarantees of future performance. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from our forward-looking statements and therefore you should exercise caution in interpreting and relying on them. We refer all of you to the risk factors in our recent SEC filings, including our most recent Form 10-K as updated by our subsequent quarterly reports on Form 10-Q, for a more detailed discussion of the risks that could impact our future operating results, financial condition, and other forward-looking statements. During today’s call, we will discuss non-GAAP financial measures, which management uses and believes are useful in evaluating the company’s operating performance. Financial results before August 2015 did not include results of Sartini Gaming. Sartini Gaming was merged with a subsidiary of the company on July 31, 2015 and its financial results were included beginning in August, 2015. Because of the merger, management believes it is helpful to provide comparisons on an unaudited combined basis where the results of the company are combined with the pre-merger results of Sartini Gaming for the relevant period. We have provided that information in the press release issued earlier today. The combined presentation does not conform to GAAP or the SEC’s rules for pro forma presentation. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our second quarter 2016 earnings release. Hosting the call today, we have Blake Sartini, who serves as Chairman of the Board, President, Chief Executive Officer of the company; and Matt Flandermeyer, who serves as Executive Vice President and Chief Financial Officer. Management will provide prepared remarks after which we will open the call to questions. With that I’ll turn the call over to Blake.
Blake Sartini: Thank you, Jacq, and good afternoon. We appreciate you joining us and welcome you to our second quarter call. Since we last spoke, we continued to execute on our strategic initiatives during the quarter, because our second acquisition in Montana, and we opened two new taverns in Las Vegas, and are now operating 51 locations in the state. We completed the first phase of upgrades and renovations at our Rocky Gap property. We declared a special cash dividend of $1.71 per eligible share related to the Jamul Note sale, which was paid on July 14, 2016 to eligible shareholders of record as of June 30, 2016. Finally, we filed a universal S-3 shelf registration statement with the SEC for sales of securities of up to $150 million. Together, these activities all advance our strategy to expand our core markets by scaling our leadership position in distributed gaming and taking advantage of organic growth opportunities in our casino portfolio. Executing on this strategy is central to our goal, enhancing shareholder value, and positioning the company for long-term success. Overall, performance was in line with our expectations. For the second quarter, net revenues were $102.6 million, up 16.5% compared to the combined net revenues from the same quarter last year. Adjusted EBITDA during the quarter was $13.3 million, up 12.2% compared to the combined adjusted EBITDA for the same quarter of last year. The improved results were primarily driven by the following four items. One, in our tavern portfolio, same-store revenue increased 9.3%. And in addition, we have added three new locations, when compared to the prior year period. Two, our Nevada Rausch showed positive signs and third-party accounts. However, we did see major – some disruption on our major same-store portfolio. Three, the addition of our first Montana acquisition for the entire quarter and our second Montana acquisition for about two-thirds of the quarter; and fourth, operating efficiency is realized in our casino segment. Turing to our segment results in distributed gaming net revenues increased 23% during the quarter, compared to combined results for the prior year period. Segment adjusted EBITDA was $11.4 million. As I mentioned prior, this quarter included a full three months of contribution from our January Montana acquisition and slightly over two months of operating results from our April Montana acquisition. For the quarter, the Montana operations produced adjusted EBITDA as expected, as we continue to reposition and invest in this new market. And then Nevada tavern portfolio indicative of our unique business model and our brand strength in Park County, we saw same-store net revenues in our wholly-owned branded taverns, increased 9.3% compared to the combined results for the prior year period. During the quarter, we successfully opened our 50th and 51st tavern locations. With three openings complete this year, we are currently – we currently expect to add two more taverns locations in the Las Vegas Valley before year end with a third coming on line early in 2017. In the distributed gaming portion of the business, we saw positive trends from games in our wholly-owned taverns, as well as in third-party accounts. That strength was somewhat challenge by the supermarket segment of Southern Nevada as ownership changes caused brand disruption. Matt will provide more detail in his comments. Shifting to our casino segment, segment adjusted EBITDA was up 26% on essentially flat revenue or 28% adjusted EBITDA margin for the casino segment, during the quarter reflects our focus on operating efficiencies. We have been very deliberate in our pursue of enhanced effectiveness or promotional spending. We also seek to improve experience and customer service with the goal of creating more repeat visitation and we are beginning to see some benefits. At Rocky Gap in early July, we announced the completion of the first phase of $1.5 million renovations. We had 168 new parking spaces. With the addition parking, we can now accommodate customer demand on peak dates, including weekends, holidays, and special events. This is demand that previously we were not able to accommodate. We continue to expect a 30% return on the capital invested at Rocky Gap. The next phase of the project includes a hotel initiative and it’s continuing. We have now remodeled several rooms and suites within the hotel, and are proceeding with a full room remodel plan to begin in 2017. The scope is still being reviewed and we should have more clarity by our next call. We look at Rocky Gap, is having significant upside opportunity. As we have discussed in the past, the device count can flex up to 1,500 gaming devices while adding an unlimited number of table games, and we can add an additional 200 hotel rooms supplementing the current 200 room inventory. We also continue to consider additional food, beverage, retail and entertainment options. We have – now begun the initial planning stages of these components of the facility and we will provide more detail as we move forward. Turning to our Pahrump, Nevada casinos, our recent quarters we have adjusted our approach in response to the competitive operating environment. One-year has now passed since the small competitor expansion in the market. On the top line our revenue is stabilized. As on a sequential basis revenues in the second quarter were effectively flat with the first and fourth quarters. However, our focus on operating efficiency is leading to margin improvement. During the second quarter, we saw our adjusted EBITDA margin improved by 890 basis points compared to prior year period. Late quarter trends were encouraging. Although the tailwinds of our property improvements during the quarter caused some disruption at one of our facilities, those if not all improvements will be complete in August 2016. In Pahrump during the quarter, we opened a new state-of-the-art sports book. Sports book is operated by William Hill and is the largest and most modern in the Pahrump, Nevada market. Additionally, we rolled out a new player in retail reward system using market leading technology, featuring a one card solution enabling all guests to earn rewards across all three properties. In addition, we completed the development of one new restaurant and the renovation of a second restaurant at our Gold Town Casino. As we approach the one-year anniversary of the merger, we are well positioned to continue our strategic approach to build in shareholder value. During the quarter, we saw continued economic strength in all three jurisdictions in which we operate. We are up to a good start in Montana and we continue to invest in infrastructure as we’ve build a market leading business model on our Nevada operations. In our casino properties, we are beginning to recognize the benefits of some of the opportunities we identified at the time of the merger. Overall the results from this quarter displayed the significant benefits derived from having a uniquely diversified gaming company, operating across different segments, and in multiple jurisdictions. Increasing our scale and adding our operational expertise, remains our focus as we work to deliver value to our shareholders. With that, I’ll turn the call over to Matt.
Matt Flandermeyer: Thanks, Blake. Before getting into the result, let me remind you that the financial results of second quarter last year did not include the results of Sartini Gaming. Sartini Gaming was merged with a subsidiary of the company on July 31, 2015. These financial results were included in the beginning in August of 2015. Because of the merger, we believe it is helpful to provide comparisons on an unaudited combined basis, where we include the results of the company with the pre-merger results of the Sartini Gaming for the relevant period. We have provided that information in the press release issued earlier today. Turning to the quarter, net revenues for three months ended June 30, 2016, were $102.6 million, an increase of 16.5% compared to the combined results from the prior year quarter. Adjusted EBITDA for the current quarter was $13.3 million, compared to $11.9 million combined adjusted EBITDA in the prior year. Turning to our segments, distributed gaming net revenues during the second quarter was $77.8 million, up 23.2% compared to the combined amount for the same period last year. Distributed gaming adjusted EBITDA was $11.4 million versus a combined $10.1 million for the prior year period, an increase of 12.3%, adjusted EBITDA margin of 14.6%, compares to 16% combined margin for the second quarter of 2015. Despite same gross store revenue that was flattish, impacted margin was due to soft results from our grocery store operations within our Nevada operation. Our result changes involving 51 locations created disruption including consumer brand confusion and closers during transition. In regards to the two recently acquired Montana distributed gaming operations, we entered a market consisting of approximately 16,000 gaming devices and $380 million in gaming revenue. As a result, we currently have approximately 18% market share of gaming devices and 15% market share of gaming revenues. We believe that there are modest operating synergies to be achieved as we integrate the two acquired distributed gaming businesses. Additionally, we believe there is an upside to the current revenue trend with a modest capital investment and device update plan going forward. During the second quarter, net revenue included approximately $13 million in net revenues from our Montana assets. Looking forward as we integrate the acquisitions, we expected to be investing a couple million dollars in a form of marketing and infrastructure enhancements over the reminder of the year as we work to integrate and enhance the business. Casino net revenues increased slightly during the second quarter compared to the combined results from the same period last year. Casino adjusted EBITDA for the quarter was $6.8 million compared to $5.4 million for the combined results from a year ago, reflecting more effective marketing spend and operating efficiency pointed by Blake. From a cash generation standpoint, we continue to benefit from our net operating loss carryforwards. At the end of quarter, we had approximately $7 million of NOL carryforwards just begin to expire at 2032. The net operating loss carryforwards can be applied against our future ordinary tax flow income, resulting in minimal cash income tax payments over that period, assuming no ownership change occurs under Section 382 of the tax code. Looking at the balance sheet, at the end of the second quarter, we had $61.7 million of cash and cash equivalents. Of that amount, approximately $23.5 million related to net proceeds from the sale of Jamul Note. Subsequent to quarter-end on July 14, we paid out debt cash to eligible shareholders in form of special dividend. At quarter-end we had total debt outstanding of $185.8 million, including a $155 million outstanding under our term loans, and $25 million outstanding on our $50 million revolving credit facility. At the end of the quarter, the weighted average effective interest rate under our credit agreement was approximately 3%. Capital spending for the quarter was approximately $9.3 million, which included approximately $7.2 million not related to maintenance CapEx. With that operator, please open the line for questions.
Operator: Thank you, sir. [Operator Instructions] We will take our first question from Howard Rosencrans with Value Advisory.
Howard Rosencrans: Hi guys, looks like a very nice quarter, congratulations.
Blake Sartini: Thanks, Howard.
Howard Rosencrans: A few different questions. So you’ve talked about the headwinds on the supermarket part in the distributed gaming side, and I’ll leap into the next part of that question. And you had despite that I guess from the strength in the tavern business, 9% plus comp, we through together distributed gaming, the strong comp in tavern, you had negative leverage in the distributed gaming business as the adjusted EBITDA increased less than the revenues. So is that a function of the headwinds in the distributed gaming or really heightened investment in Montana?
Matt Flandermeyer: Howard, this is Matt. Thanks for the question. I would say that the majority of it was the headwinds in the grocery same stores, but there was some just as far as we integrated in Montana results as well.
Howard Rosencrans: Okay. And is that comp – I apologize if you said this. Is that competition to where the supermarket situation are abiding?
Blake Sartini: It’s not a competitive issue, Howard. I think Matt outlined at his comments, unique to this quarter year-over-year, there was significant ownership and brand disruption which was out of our control essentially.
Howard Rosencrans: Great.
Blake Sartini: So I wouldn’t categorize that as an ongoing competitive issue.
Howard Rosencrans: Okay. Is that situation now behind us?
Blake Sartini: There will be some tail to it probably – I would say through the end of the year, but I would say it’s mostly this quarter year-over-year.
Matt Flandermeyer: Mostly this quarter year-over-year.
Blake Sartini: So there may be a small tail going forward.
Howard Rosencrans: Okay. And the second question regarding the casinos, you commented regarding the Nevada casinos. Again, if I got this right that there was a competitive issue with the Nevada casinos, despite that it looked like you had a fabulous quarter in casinos broadly. You made a comment about an 890 bps pickup, I thought that was specific to Nevada and it sounds like Rocky Gap was great as well. So I know if you could just clear me up on that please? Thank you.
Blake Sartini: All right, I think that’s accurate. I think your interpretation of both of those comments on the casinos is accurate. Specifically how were the small competitors in the Pahrump market, Nye County market opened in March of last year. It was approximately 200 machine smaller location and we’ve laughed that entry into the market.
Howard Rosencrans: Okay.
Blake Sartini: That along with our approach to focusing on our operating efficiencies as well as some of these capital investments that have been made early on in this year to enhance those properties are beginning to show results.
Howard Rosencrans: Great. And last question and then I’ll get back in queue. Any thoughts on providing guidance for the full year or guidance at some future point maybe for 2017 or what is your thoughts on providing guidance? Thank you.
Blake Sartini: Look, that’s a good question. We do talk about that internally, I think our position at this point is not to provide specific guidance until we mature. And so I think more of a – I guess if we get a bit larger, we’ll start to consider little bit more, but at the moment, we’re not considering specific guidance.
Howard Rosencrans: Okay, thank you. Great job.
Blake Sartini: Thank you, Howard.
Operator: [Operator Instructions] Mr. Sartini, there appears to be no further questions at this time. I’d like to turn the call back over to you for any closing remarks.
Blake Sartini: Thank you. Thank you again for joining us. We look forward to updating everyone on our continued progress as we report our third quarter results in November. Thank you, again.
Operator: And ladies and gentlemen, this does concludes today’s conference. We appreciate your participation.